Operator: Hello, and welcome to the Blade Air Mobility three months in calendar year ended December 31st, 2021, Financial Results, conference call and webcast. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. If anyone should require operator assistance, [Operator Instructions]. As a reminder, this conference is being recorded. It's now my pleasure to turn the call over to Tom Cook, Investor Relations. Please go ahead.
Tom Cook: Thanks, Operator. And good afternoon, ladies and gentlemen. Thank you for standing by, and welcome to the Blade Air Mobility Conference Call and Webcast for the quarter and calendar year ended December 31, 2021. We appreciate everyone joining us today. Before we get started, I would like to remind you of the company's forward-looking statements and Safe Harbor language. Statements made in this conference call that are not historical facts, including statements about future time periods maybe deemed to constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are subject to risks and uncertainties, and actual future results may differ materially from those expressed or implied by the forward-looking statements. We refer you to our SEC filings, including our annual report on Form 10-K, filed with the SEC on December 20,2021, for a more detailed discussion of the risk factors that could cause these differences. Any forward-looking statements provided during this conference call are made only as of the date of this call as stated in our SEC filings, Blade disclaims any intent or obligation to update or revise these forward-looking statements, except as required by law. During today's call, we will also discuss non-GAAP financial measures which we believe may be useful in evaluating our financial performance. A reconciliation of the most directly comparable GAAP financial measures to those non-GAAP financial measures is provided in our earnings press release, which will also be available on our website. These non-GAAP measures should not be considered in isolation or as substitute for financial results prepared in accordance with GAAP. Hosting today's call are Rob Wiesenthal, Founder and Chief Executive Officer of Blade and Will Heyburn, Chief Financial Officer. I will now turn the call over to Rob Wiesenthal. Rob.
Rob Wiesenthal: Thank you, Tom. Good morning, everyone. I'd like to thank you for your interest in Blade and welcome you to our earnings call for the quarter and calendar year ended December 31st, 2021. Let's start with a short overview of our outstanding results, followed by an update on the progress we have made towards achieving our strategic goals before handing the call over to Will to cover our financials in more detail. Before we begin, just a quick reminder that Blade recently changed fiscal year from ending on September 30th to ending on December 31st. As a result, the quarter ending December 31st, 2021 was a transition period and Blade 's financial results for the period were filed on a Form 10-Q transition report lays current full fiscal year began on January 1, 2022, and will end on December 31, 2022. Going forward, our fiscal quarters will match calendar quarters. With that housekeeping out of the way, we are extremely pleased to report that the quarter ended December 31, 2021, significantly exceeded our expectations. Revenues in the December 2021 quarter increased 208% to $24.6 million versus $8 million in the 2020 comparable period and increased 371% versus the pre-COVID 2019 comparable period results of $5.2 million. Our flight profit in the December 2021 quarter increased 146% to $4 million versus $1.6 million in the 2020 comparable period and negative $0.6 million in the pre-COVID 2019 comparable period. This superior performance is reflected in Blade 's calendar year in 2021 results as well. Full calendar year revenues of $67.2 million significantly exceeded our expectations and were up 156% versus calendar year 2020, and up 106% versus pre-COVID calendar year 2019. Flight profit grew 193% to $13.2 million from $4.5 million in the calendar year 2020, and was up 271% from $3.6 million in pre-COVID calendar year 2019. Our ability to accelerate revenue and flight profit growth in the face of an ever changing pandemic landscape, is a testament to the diversity of our business lines and the flexibility of our asset-light model. As businesses in New York have been forced to balance remote office work, Blade has been able to rapidly adapt our commuter services, serving our fliers on more days of the week, and more weeks of the year. By optimizing our Blade Airport business, we were able to successfully navigate a rapidly changing travel restrictions, while still achieving flier run rates in the December quarter that matched pre -pandemic level and with improved utilization. All the while we have continued to invest in areas of our business that are unaffected by the pandemic, particularly our MediMobility Organ Transport and Jet division. These business lines have helped offset the volatility in short systems and performed extremely well throughout the pandemic, contributing to our strong growth in revenues while delivering consistent flight margins. Beginning in early January 2022, we saw a slowdown in our Blade Airport and Vancouver businesses. However, given positive trends and return to office, as well as commercial airline bookings, we are already seeing improvement and believe this impact will be short-lived. We do not expect a material impact to revenues in the current March 2022 quarter. I'll let Will discuss our outlook in more detail. While the Omicron outbreak in the New York area was a short-term challenge, we are fortunate that it came during the March quarter, which is seasonally the slowest for our short distance business. With New York eliminating it's mask mandate on this very day, we expect a measurable pick-up in travel to New York city, which should benefit Blade airports performance. We continue to expand and diversify both in terms of services and geographies. Whether we are transporting a hard from a hospital helipads or enabling a business person to catch-up flight out of JFK. BLDE is aggregating the best use cases in the world for future Electric Vertical Aircraft or what we call EVA. Most importantly, these routes and services have profitable unit economics today using existing aircraft and our exclusive infrastructure. As a result, Blade has already built the world's largest our just Urban Air Mobility company, and we are working every day to improve our technology, strengthen our brand, add to our exclusive infrastructure and grow our customer base placing Blade in the best possible position to transition to EVA mailing, lower-cost and our ability to the public, that is both quiet and emission-free. At the same time, our EVA partners continue to make incredible strides towards bringing their aircraft to market. For example, our partner Beta Technologies has obtained a supplemental experimental type certificates from the FDA, enabling them to double their flight test capacity. They're now flying regularly between Plattsburgh, New York and Burlington, Vermont, often breaking records for electric flight. Together, Blade and Beta Technologies are working towards conducting a joined flight test of betas piloted Alia 250 Electric Vertical Aircraft in the greater New York area as early as Q2 to exhibit not only the progress that has been made, but also the near silent nature of this next-generation aircraft and flight. I could not be more happy with our progress. And with that, I'll turn the call over to Will.
Will Heyburn: Thank you, Rob. Before we dive in, I'd like to reemphasize our great progress in both growing and diversifying our business. Where Blade was once highly-concentrated in New York City, we now have an even larger passenger urban air mobility business in Vancouver. Our MediMobility organ transport and jet businesses operate coast-to-coast, and Blade is now the largest dedicated transporter of human organs for transplant in the United States. This diversification has served us incredibly well during a volatile time for the consumer travel industry. Additionally, given common aircraft usage across all of our business lines, we have significantly strengthened the Blade value proposition with our third-party operators. The combined volumes of our growing retail and medical businesses are already leading to improve the aircraft availability and pricing, paving the way for improved economics. As Rob mentioned earlier, our 208% revenue growth in the December 2021 quarter versus the comparable 2020 period was well ahead of our expectations. I'll walk through a few highlights. In Short Distance, revenues were up 191% to $6.2 million in the December 2021 quarter versus $2.1 million in the comparable 2020 period. Our commuter business continued to benefit from strong off season demand. And what is seasonally the second slowest quarter for short business. Our reintroduction of Blade Airport service and acquisition of Helijet passenger routes, which we completed on November 30th, also contributed to the positive year-over-year comparison. Turning to MediMobility Organ Transport and Jet, revenues increased 227% this quarter to $18 million versus $5.5 million in the comparable 2020 period. Growth was driven by our acquisition of Trinity, the addition of new hospital and jet charter clients, as well as growth in trip volume within Blade 's legacy accounts. We worked quickly to integrate Trinity and have already won several new accounts for the combined Trinity Blade team. We're particularly pleased to be supporting our longstanding partner, Mount Sinai Hospital as they expand their transplant institute to add a lung program this year. Turning to our flight costs. Flight Margin decreased this quarter to 16% versus 20% in the comparable 2020 period. The decline was driven primarily by the recent relaunch of BLADE Airport service, which, as expected, during any new service ramp, was operating below breakeven during the 2021 period. Absent BLADE Airport, flight margin would have been approximately 18% in the period. Let's turn now to our general and administrative expenses. G&A increased $9 million in the December 2021 quarter to $12.3 million from $3.4 million in the comparable 2020 period. The increase was primarily driven by an increase in corporate overhead costs of $2.6 million to support continued business growth, an increase in non-cash stock-based compensation of $1.3 million, one-time transaction-related expenses of $0.9 million, as well as recurring costs paid to third-party auditors and consultants related to our new status as a public company of $2.2 million, $1.6 million of which represents premiums for our directors’ and officers’ insurance. Excluding these one-time non-cash and recurring public company costs, G&A expense increased approximately $4.5 million to $6.6 million in the December 2021 quarter versus $2.1 million in the comparable 2020 period, primarily reflecting the continued expansion and enhancement of our corporate team as we execute on our growth plan, both organically and through acquisition. G&A remained roughly consistent on a percentage of revenues basis. Our software development expenses increased $0.5 million to $0.6 million in the December 2021 quarter, driven primarily by non-cash stock-based compensation of $0.3 million and an increased headcount of $0.2 million. Selling and marketing expenses increased one $1.1 million to $1.5 million in the December 2021 quarter, driven by our expansion of our Short Distance business lines and associated marketing activities. Compared to the pre-COVID comparable 2019 period, selling and marketing expenses increased $0.5 million or 49%, which primarily reflects increased marketing activities associated with our growth and business line expansion. Adjusted EBITDA in the December 2021 quarter decreased to -$5.9 million from -$1 million in the comparable 2020 period and -$4.6 million in the comparable 2019 period. The decrease was primarily attributable to increased headcount and new recurring expenses related to BLADE 's status as a public company consisting of incremental D&O insurance of $1.6 million and other fees paid to third-party auditors and consultants of 0.6 million excluding the new recurring public company expenses above comparable adjusted EBITDA of negative $3.7 million decreased versus negative $1 million in the comparable 2020 period, but improved from -$4.6 million. And the pre-COVID comparable 2019 period, driven by increased revenues and higher Flight Margin. Looking into the future, we're seeing an excellent start to the year. Even as we emerge from Omicron restrictions implemented late last year. As Rob mentioned earlier, we have seen a limited Omicron impact to our BLADE Airport and Vancouver businesses in the March 2022 quarter-to-date. Importantly, we are already seeing improvement across both businesses, and do not expect the material negative impact to revenues in the quarter. However, we do expect lower overall flight margins in the March 2022 quarter, likely in the low teens. Given our analysis to be impact of Omicron would be short-lived, we did not reduce service in order to maintain a consistent product offering for our customers. This led to lower utilization for BLADE Airport and in Vancouver. Fortunately, as we speak, mask mandates are being eliminated, travelers are booking more commercial flights, and workers are returning to the office in greater numbers. This bodes well for our performance in the immediate future. Looking more closely at BLADE Airport. While our annualized passenger run rate dropped to a low of approximately $5,000 in early January from approximately $20,000 in December, it has since doubled to approximately $10,000 in recent weeks. Note that January and February are seasonally weak months for commercial airline travel in general. Also within short distance, as the town of East Hampton, New York considers new flight restrictions at their airport, we expect a rebalancing of flier destinations to neighboring landing zones, including Montauk, South Hampton, Sag Harbor, and West Hampton. As these locations are as little as 10 minutes by car from the airport, we do expect a meaningful impact. However, even if the airport closed entirely, which we deem highly unlikely, BLADE expects only a low-to-mid single-digit million dollars revenue impact in calendar year 2022. This conservatively assumes that only half of our East Hampton Airport fliers would use one of the many other neighboring landing locations at a slightly increased price. In closing, I want to reiterate that despite these isolated issues, our growth remains incredibly strong. In fact, our January 20.2 revenues were roughly double the prior year period. With that, I'll turn it back over to Rob for a few closing remarks.
Rob Wiesenthal: Thanks, Will. We continue to make incredible progress growing and diversifying the world's largest Urban Air Mobility ecosystem and there is no better testament to our success than our exceptional financial results over the past year. We're very proud of what we've built here at BLADE. We committed to you that we will continue to execute on our promise to aggregate the most important Urban Air Mobility opportunities across the world, securing both customers and infrastructure to deliver unmatched services at attractive prices today, while preparing for the future of quiet, emission-free Electric Vertical Aircraft tomorrow. If EVA is delayed, we grow stronger with even more operating geographies, routes, fliers and revenues. Our strategic mode becomes even stronger. If EVA are available on our projected time frame, we expect the safe, quiet, and emission-free attributes of these aircraft to unlock our ability to open even more BLADE landing zones in more locations that are more convenient to our fliers exponentially growing the size of our overall business. With that, I'll turn it over to Tom for questions.
Tom Cook: Thanks, Rob. As a reminder, we will take questions from analysts and investors on this call today. Reporters should send inquiries to me directly. Operator, we're now ready for questions.
Operator: Certainly. We'll now be conducting a question-and-answer session if you'd like to be placed in the question queue, [Operator Instructions], a confirmation tone will indicate your line is in the question queue. [Operator Instructions] for participants using speaker equipment, it maybe necessary to pick up your handset before pressing star one. One moment, please, while we poll for questions, Our first question today is coming from Hillary Cacanando from Deutsche Bank. Your line is now live.
Hillary Cacanando: Hi. Thanks for taking my question. Last quarter, you mentioned that you're targeting a 2022 launch for one or more at this most Short Distance revenues, I was wondering if you have any updates on that and if you have any update on your plans as well to restart your LaGuardia service this year. Thank you.
Rob Wiesenthal: Hey, thanks for the question, Hillary. I continue to see a huge market opportunity connecting the Northeast cities and there's no one better equipped to do it than BLADE. And particularly with the asset light model, we can move really quickly on that when the time is right. At the same time, we built this really diverse business and we do have great growing product lines that are not correlated to business travel or return to office. So we kind of have to weigh the best investments to make in terms of risk-adjusted return right now, and we know we can move very quickly when the environment is right to start leaning more into business travel. And with respect to LaGuardia
Will Heyburn: Airport, we're monitoring our utilization for Kennedy and Newark airports. LaGuardia is definitely in the pipeline. As you know, there's a lot of construction there. We'd like a lot of that construction to be dissipated to make for a better experience, but we do expect to restart LaGuardia.
Rob Wiesenthal: I'd say we still want to do both of these things this year. It's just if we're in a situation where only 30% of people are back in their offices and they're not allowed to travel because of their corporate travel policies, we're not going to force it.
Hillary Cacanando: Got it. And then, in terms -- it really seems like your MediMobility business is doing really well. In terms of -- could you provide any guidance in terms of modeling or maybe breakout of your business between MediMobility and the airport versus Short Distance. Are you expecting more growth in the MediMobility business this year versus your Airport, and how should we think about that in terms of breakout of revenue? What percentage should be allocated to MediMobility versus the others?
Will Heyburn: Look, what I can tell you is it's the majority of what we're reporting for that MediMobility jet business. And look, it -- the growth has significantly exceeded our expectations here. We've seen incredible synergies from combining the retail business and the medical business. It's giving us more access to aircraft at better pricing, and hospitals across the U.S. are really responding to our ability to be uniquely service them more quickly and at better prices. One of the things we see in terms of benefiting margins and how MediMobility sit so well, the organ transplant missions tend to happen in the evening, between midnight and 06:00 AM, whereas most our passenger business happens obviously during the day. So now, essentially, our operators are able to amortize the cost of their aircrafts and their pilot time over a 24-hour period, which allows them to actually have better economics and thus, lower our costs in terms of what we pay on an hourly basis. So we get really strong economies of scale, improving margins as MediMobility grows, our cost can come down in terms of our costs to fly passengers.
Hillary Cacanando: Thank you. It was very helpful.
Rob Wiesenthal: Thanks.
Operator: Our next question today is coming from Stephen Ju from Credit Suisse. Your line is now live.
Stephen Ju: Okay. Great. Thank you. So Rob, your recent announcement for doing helicopter flights in LA are out to begin this weekend. So should we think about this as a first step in rolling out a presence in the U.S. West Coast? Or if not, how has your thinking evolved in terms of expanding your service footprint? Thank you.
Rob Wiesenthal: Sure. As Will said, we're being very opportunistic. I think in terms of the West Coast, it's great to be back in LA even for the Super Bowl. There is an incredible amount of demand in Los Angeles, but we're being very careful. You need places to land, they have to be convenient. We have people hard at work, making sure that we can get to the point where we have active landing zones. Also, with the acquisition of Helijet, we see a very strong opportunity to reintroduce Seattle to Vancouver. As you know, both Seattle and Vancouver are tech hubs and are starting to enjoy a lot of travel back and forth with high-value fliers. And that would be pretty much the very first cross-border Urban Air Mobility program in the U.S. We're excited about that as well. West Coast is more than on the radar as you can see, it's already underway.
Operator: Perhaps your phone on mute, Stephen? Our next question today is coming from Bill Peterson from JP Morgan. Your line is now live.
Bill Peterson: Yeah. Hi. Nice quarterly results. And thanks for letting me ask a few questions here. Wanted to come back to The Hamptons. I think you defined the impact as small, which is good to hear. It looks like you're still offering flights even past the closure date, if I read the website correctly. I mean, do you have permission to land there past the -- March, or end of this month, or early March? And wondering if this -- is there a possibility that this type of limitation could happen at other airports in the region and just kind of curious what you're planning to do in terms of working with the local jurisdictions on flights to The Hamptons?
Rob Wiesenthal: Sure. Well, first of all, the plan that the town came -- announced, was to close and reopen in four days as a private airport with restrictions that will help reduce noise. We have produced to the town, a list -- a proposal, it's comprehensive, that can help balance the needs of the community in terms of noise with the needs of our fliers. That includes noise abatement altitudes and all water routes to East Hampton over the ocean were literally are flying maybe potentially at 35 over 37 or beat over ten homes. So we've given our list of all the things we can do to help mitigate noise. I think the jury is still out in terms of exactly what those are restrictions would be. But the plan of East Hampton is not to close it, but is to put in new types of restrictions, maybe Kirby's and such. Our serving to our fliers seem vastly, driver fliers are going to continue flying. As you heard, by Will earlier in the call, Sag Harbor, which is only ten minutes away from East Hampton, South Hampton, Montauk, which is already in the town of East Hampton, West Hampton, there's so many alternative landing zones. And remember, East Hampton was really a point of aggregation because it was a very big airport. So we really don't see a material impact to our ability for our customers to fly. And so what Will gave you was a worst-case scenario if it indeed closed. But please understand, the plan of the town is to close it only for three days and to reopen it as a private airport.
Bill Peterson: Okay. Good to hear. Talking about Airport, and I guess a similar commentary on North East, it sounds like you're in somewhat of a wait-and-see mode to see how business travel returns. We've been monitoring some data, seeing the emergence of, I guess you'd say leisure travel or business plus leisure. How does BLADE see that development in the hybrid business-leisure segment? Could -- do you see in this that this might change long-term travel patterns as well as helicopter demand or is this just a temporary thing until RTTO, return to the office, becomes more certain?
Will Heyburn: Look, Bill, we definitely see it in the airport business and I think that's how in December we were able to actually get to pre -pandemic levels when, as you know, business travel has not recovered and that's what a lot less inventory on the shelves with only two routes running. So there's definitely parts of our business where we're -- we have the potential to benefit from that. And then there's areas like connecting two business hubs for day trips, which is kind of what the Northeast quarter would be where they're probably a little more levered to business travel. And so we're watching that more closely for those kind of things. But I think definitely in the BLADE Airport product, you see that hybrid benefit.
Rob Wiesenthal: I also think that I did not expect to see the amount of leisure travelers using BLADE Airport. I think we're now learning that a lot of people enjoy the experience. They enjoy the lack of stress. You haven't -- exactly when you're going to get to the airport, which is five minutes, the lack of panic when you're sitting in traffic. And also we can judge by the size of bags and that see the mix of leisure versus business travelers and are happy to see a lot of leisure craft, and you're 100%, right. There's a lot of this kind of leisure traveler happening after a business -- leisure travel happening after a business trip, that we're seeing more and more of. And that is proven by our surveys and by interviews that we have with our actual fliers.
Bill Peterson: If I can speak one more on margins. You talked about flight margins potentially in the low teens range for the March quarter. I'm curious, do you see any impact on rising fuel costs or is that your operators? Do you have -- these are fixed for you? You don't have any pass - throughs of such costs. I'm just curious if there's any impact of [Indiscernible]
Rob Wiesenthal: No. We don't have any pass - throughs. Sure. We don't have any pass - throughs. We pay an hourly rate. You should know that the kind of helicopters that we fly are essentially using 40 gallons fuel per hour. Helicopters are not like big giant jets, so when you think about the overall cost of fuel for an over -- for a trip, it is not a very large portion of a trip. So we don't expect rising fuel costs to have a large impact in our margins going forward. Actually, any material impact, I should say.
Bill Peterson: Okay. Thanks. I'll go back in the queue. Nice job on execution.
Rob Wiesenthal: Thank you, sir.
Will Heyburn: Thanks, Bill.
Operator: Thank you. [Operator Instructions] Our next question is coming from Itay Michaeli from Citi. Your line is now live.
Itay Michaeli: Great. Thank you. Good afternoon, everybody. Just two questions for me. First, just with the above [Indiscernible] strong revenue growth you're experiencing. You touched upon L.A. earlier. Curious, Rob, maybe what you're thinking about Miami and potential growth there given the momentum you're seeing in the Northeast. And then maybe for Will on the flight margin. What's the impact [Indiscernible] going forward. I'm just trying to get a sense of where your margins can get to through the peak, spring and summer months, for your Short Distance flight business and how the interplay there might work in the next couple of quarters.
Will Heyburn: Let me take that Florida question. A couple of things. As you probably know that our seasonal and PVC plant business, which is part of our memorability as our previously planned to do land right here in city centers here, and now in New York and elsewhere goes down to Florida, and they are working there during the winter and they service a lot of the Bahamas and go-between on beach Miami and also in Florida. I would say that me and Suarez, we've had spent some time with it is extremely open to non-only Urban Mobility but helicopters today. We've seen a very big migration of people, especially at the New York area, who are very familiar with the BLADE brand, moving down to Florida. And our operations down there which are on the fixed wing side, has aided in that awareness. And I think that there are opportunities down there, especially between Palm Beach and Miami and elsewhere, so it's on the radar. There are no immediate plans right this moment, but as they said, we are actively servicing the area on a charter basis with our amphibious sea planes helicopter service to come. And on your question on the MediMobility side, still great margin potential in that business. When you compare it side-by-side to the Short Distance business as we said before, probably slightly lower average flight margin, but you don't take any of the utilization risk and you also don't need to spend on things like marketing, so it's a great business. And one of the incredible things that we added to our portfolio with the Trinity acquisition is really capturing all of the last mile revenue. One of the things we're constantly amazed at is just how much people sometimes charge hospitals for a 15-minute trip in a car. And so we're able to really save the hospitals money and make a nice margin adding in the last mile, as we replaced that with either an ambulance or even a helicopter for less than they might have been paying for a car before. So that's an opportunity to improve those margins a little bit. And I think what you see in the MediMobility business is more of that sequential quarter-over-quarter growth that we've been seeing. Not as much variability in terms of the seasonality, so it really smoothed out our reporting. And we're incredibly excited. We're getting the benefits of the scale being the largest in the United States for dedicated organ transportation already. And we're excited to continue to show new hospitals how we can help save them money, and get that organ where it needs to go much more quickly. I think the proof is in the performance in that business and we're really able to offer a better product in terms of those things the transplant centers care about.
Itay Michaeli: That's very helpful. Thank you.
Operator: Thank you. We reached end of our question-and-answer session. I'd like to turn the floor back over to Rob for any further or closing comments.
Rob Wiesenthal: Sure. Thank you. I just wanted to take a quick moment to reiterate how pleased we are with our financial performance, as well as the overall strategic trajectory of our company. Simply put, we have built the most formidable Urban Air Mobility ecosystem in the world. And our transition from helicopters to Electric Vertical Aircraft or EVA, truly is insight. As evidenced, we look forward to our forthcoming joint tests with Beta Technologies at the ALIA-250 Electric Vertical Aircraft in the greater New York area in Q2. And if you have any further questions, feel free to contact Tom Cook of ICR. His contact info is on the bottom of our press release. Thank you very much for dialing in, and we look forward to speaking to you-all soon.
Operator: Thank you. That does conclude today's teleconference and webcast. You may disconnect your line at this time and have a wonderful day. We thank you for your participation today.